Operator: Good morning, and welcome to Gibson's 2017 Second Quarter Results Conference Call, in which management will review the financial results of the company for the three months ended June 30, 2017. I will now turn the call over to Tammi Price, Vice President of Finance and Corporate Affairs. Please go ahead.
Tammi Price: Thank you, Silvey, and thanks, everyone, for joining us this morning to review highlights for the second quarter of 2017. Participating on today's call are Steve Spaulding, President and CEO; and Sean Brown, Chief Financial Officer. We will open the call for questions following our prepared remarks. I will be available after the call to answer analysts' modeling questions. Before passing the call over to Steve, I'd like to caution you that during today's call forward-looking statements may be made, which relate to future events or the company's future performance. These statements are given as of today's date, and they are subject to risks and uncertainties as they are based on Gibson's views, expectations, estimates, judgments, projections and risks. The company assumes no obligation to update any forward-looking statements made in today's call. Additionally, some of the information provided refers to non-GAAP financial measures. To learn more about these forward-looking statements or non-GAAP financial measures used by Gibson, please refer to the 2017 second quarter management discussion and analysis issued yesterday by the company, which is available on our website and on SEDAR. Actual results could differ materially from forward-looking statements we made or implied today. With that, I'll turn it over to Steve.
Steve Spaulding: Thanks, Tammi, and good morning, everyone. The second quarter of 2017 delivered a robust 60% improvement in adjusted EBITDA and 433% improvement in distributive cash flow as compared to the same quarter in 2016. The new Hardisty and Edmonton storage tanks were placed in service late in 2016 delivered meaningful support for the quarter's solid results. And our Logistics and Wholesale segments showed significant improvement over second quarter 2016. Producers have increased efficiencies and developed new technologies to generate solid returns at the current crude oil market price. Regardless of OPEC's present and future activities, crude oil production is growing in North America, and we believe that trend will continue. We will focus on producers and provide infrastructure with the require -- they require to bring that production to the market and maximize their netbacks. For 2017, our number one priority is execution of our ongoing infrastructure growth project and commercial execution of additional tankage and crude oil gathering system commitments, while maintaining a significant focus on cost. Our Logistics and Wholesale segments will focus on maximizing profits and optimizing and enabling growth in our infrastructure businesses. We will also continue our focus on improvement in all aspects of health, safety, security and the environment. Tensions persist within the supply and demand balance of crude oil with U.S. production increasing and offsetting any cuts made by OPEC, resulting in the bearish market segment we see today in WTI and the future strip. This may continue to put pressure on margins and the pace at which our Logistics and Wholesale businesses rebound. I will now turn it over to Sean to discuss the individual segments in more detail.
Sean Brown: Thanks, Steve. Segment profit of $58 million in our infrastructure segment showed a significant increase of 32% over the same period in 2016, reflecting the late 2016 tank expansion and connection completions at Hardisty and Edmonton combined with improved contributions from our PRD terminals in Moose Jaw facility. The slight decrease in total Infrastructure segment profit of approximately $2 million over the first quarter of 2017 was primarily owing to the annual turnaround at our Moose Jaw processing facility. I'm pleased to note that all the other assets within this business segment posted steady to modestly higher sequential EBITDA contributions over the first quarter as expected, with the exception of the injection stations, which we'll speak to on our Logistics update. This stability is a consequence of the highly contracted fixed fee revenue profile of our Edmonton and Hardisty Terminals. The large tranche of tanks we placed into service at the end of last year and the 2 400,000 barrel tanks under development at our Edmonton Terminal will ensure growth within our Infrastructure segment into the 2018 time frame. The completion of the Edmonton tanks is tracking ahead of schedule and a portion of these assets should be available to start earning cash flow before the end of the first quarter of 2018. The front-end engineering and initial civil work to construct up to 4 new tanks on the east side of our Hardisty Terminal is progressing as planned. These new tanks represent the next tranche of the continued expansion of our Infrastructure footprint, with targeted [in] service dates in mid-2019. Similar to previous new tank construction project, full development of these tanks will be supported by long-term fixed fee contracts, which we expect to be in place by the end of the third quarter. With that in mind, we expect to continue to see the EBITDA contribution for Infrastructure segment become an increasingly more significant part of our portfolio, and it is our expectation that it will grow to cover total company wide fixed capital charges, including dividends and debt services costs over the near-term. Segment profit in our Logistics segment improved notably in the second quarter, increasing by 269% versus the same period in 2016 and by 36% as compared to the first quarter of this year. The continued measured increases in oilfield drilling activity were constructive for regional pricing and market share growth in our water hauling and disposal and other products and services business lines. Water hauling volumes are strong, particularly in the SCOOP and the STACK in the U.S. and the Montney in Canada. Canadian crude hauling and other products experienced improved margins and volumes on many products on a quarter-over-quarter basis. On a Q2 versus Q1 basis, crude hauling realized the expected decrease in volume and revenue resulting from spring break-up conditions, but the noted strength in other product hauling margin and volume contributions such as from seasonal asphalt and PETCO calling offset the majority of the declines. U.S. crude and other product hauling, however, continued to stay significant headwinds in the second quarter due to decreasing volumes with Logistics' largest U.S. trucking customer and declining U.S. crude hauling margins as a result of increased competition within the company's service areas. Volume declines with the largest customer are occurring ahead of the November 2017 expiration of an injection station access agreement with them. This is the cause of the decline in injection station profits as well. Trucking volumes of that of customers are increasing due to focused efforts to shift their business model, however, they are not yet sufficient to overcome the overall negative effect. We expect these challenges to persist the remainder of 2017, though are optimistic that we'll see recovery with a new business model in 2018. Outside of the U.S. crude hauling with respect to the balance of the Logistics business, I believe our demonstrated ability to capture incremental business as the market strengthens illustrates that we struck an appropriate balance between cost reductions and the maintenance of operating capacity. This will enable Gibson to continue to participate in the rebound as activity levels continue to improve and to deliver improving results in the majority of business lines. As announced in yesterday's press release, we intend to sell the U.S. Environmental Services portion of this segment by the end of 2017. Steve will elaborate on this further, but it's improving market outlook and positively trending EBITDA support our belief that we can expediently complete a disposition, while attaining a reasonable valuation for this business. We do not intend on providing more details in the process to sell the business at this time other than the previously noted time line of a divestiture closing by year-end, but will update the market when appropriate. Our Wholesale business delivered a significant improvement of 446% quarter-over-quarter benefiting from the absence of both the Fort McMurray fires and the prolonged Moose Jaw turnaround in 2016. However, Wholesale segment profit was modest in the second quarter as compared to Q1 of this year. Our team was challenged by reduced crude oil production volumes and tighter differentials as a result of the Syncrude outage along with lower average WTI prices in the first quarter, which reduced margin and blending opportunities within our crude and diluent marketing activities. Given these circumstances, the team is focused on bolstering asset utilization and throughput rates with our other business segments as evidenced by the consistent crude and diluent volumes delivered quarter-over-quarter. Our NGL marketing activities were consistent quarter-over-quarter as this business tends to contribute more significantly in the first and fourth quarters due to seasonality in butane and propane marketing. Refined product results improved over Q1 2017 with the start of the road asphalt season bringing increased demand for asphalt volumes along with enhanced margins. In addition, the Syncrude outage restricted supply and drove increased BTO sales. The annual facility turnaround in spring breakup conditions dampened the overall positive effect with invert, distillate and [top] sales decreasing as expected. As we look into the third quarter, we continue to see headwinds for our crude and diluent activities with single-digit heavy differentials at least through the end of August and even tighter differentials in the various heavy grades at Hardisty, in which we typically trade. The sweet crude to condensate spread is also forecast to remain narrow through the same time frame. Offsetting this somewhat, our refined products business should see the benefit of increased seasonal paving asphalt sales and increased sales of our drilling fluids post-completion of the turnaround and spring breakup. Looking beyond this, the latter part of 2017, while our crude and diluent activities could continue to face similar headwinds, posting comparable results, we should see more robust activity and correspondingly better margins in NGLs as we head into the winter months along the lines of what we enjoyed in 2016, which could improve overall Wholesale results as we head through the fourth quarter and into the first quarter of 2018. To summarize, overall, I'm happy with our vastly improved quarter-over-quarter results, which delivered increasingly more stable cash flow through our Infrastructure segment focus and which largely reflect expected seasonal impacts in comparison to last quarter's results. Turning to our capital program and balance sheet, Gibson's capital expenditures in the second quarter were $30 million, $25 million of which was spent on growth capital and $5 million of which was spent in upgrade and replacement capital. Approximately 85% of the second quarter growth capital is related to spending in our Infrastructure segment in support of the ongoing expansions at the Edmonton and Hardisty Terminals. We are making good progress on the key construction projects within our Infrastructure segment, predominantly reflecting projects, which are currently well advanced. We expect 2017 growth capital expenditures to be between $170 million and $200 million. This contemplates the accelerated time line to the Edmonton tanks as previously discussed. Our guidance contemplates a proposed tank project on the east side of Hardisty will primarily impact 2018 and 2019's spending levels once it is board sanctioned. Our current outlook for growth spending in 2018 remains consistent with previous disclosure with an estimate of $150 million to $250 million. With the $435 million in adjusted cash proceeds we received on March 1 from the successful sale of our Industrial Propane division and a debt repayment, refinancing initiative completed in Q1, with cash in hand of $53 million and a full $500 million of availability under revolving credit facility at the end of Q2, we are fully funded for all of these currently approved and under the way growth capital expenditure, including those planned for 2018. In this regard, at the end of the second quarter of 2017, our debt to -- debt plus capital ratio was 36%, our leverage ratio, total net debt to trailing 12 months pro forma adjusted EBITDA was 3.2 times and our adjusted coverage ratio was also 3.2 times. As previously indicated, we also expect upgrade and replacement capital spending requirements to remain muted in 2017 as we first look to deploy spare capacity within Logistics to meet our needs for that segment and due to the absence of requirement to fund maintenance capital requirements for the Industrial Propane business following its sale. The company declared dividends of $187 million in the 12 months ended June 30, 2017. Although our payout ratio remained higher than we would like on an LTM basis at the end of the quarter at 105%, it has improved materially from last quarter's 130%. And we are comfortable that the visible contracted growth within our Infrastructure segment, coupled with the interest cost savings from our recent refinancing initiatives will support the current levels of dividend. As previously mentioned, we expect to see improvement in our dividend payout ratio as we move into 2018. This will allow us to consider the pace of dividend growth in 2018 as our forecasted cash flow that is commercially secured within our Infrastructure segment continues to grow. That concludes my comments. So I'll turn it back to Steve.
Steve Spaulding: Thanks, Sean. Since my arrival in mid-June, I've been reviewing Gibson's business in detail, meeting with employees, customers, analysts and investors. I believe our North America footprint offers flexibility and numerous opportunities to capture organic infrastructure growth opportunities and to optimize our existing assets, as we renew our focus on the producers, our customers. This is supported by our improving financial metrics, including the 3.2 times debt-to-EBITDA ratio and continued quarter-on-quarter improvement in our trailing 12-month payout ratio. The near-term focus for Gibson is to ensure we are executing on our strategy that can deliver long-term shareholder value in this lower crude oil price environment. As part of this focus, as Sean mentioned, we intend to divest of our U.S. Environmental services business by the end of this year. The business is performing well, and we see growth opportunities. But given this business does not complement, optimize nor support our crude oil infrastructure activities, it no longer fits within our company's long-term focus. We expect proceeds from this sale to be directed to further delever the company's balance sheet, providing the company with added capacity to fund infrastructure growth. In the near- to medium-term, I will finalize my review of the company's operation, which will include finishing my review of all remaining business lines, with a real focus on ensuring all aspects of our business truly fit within our overall strategy of focusing on midstream infrastructure and those operations that do complement it. I look forward to sharing my details over the -- around the company's strategy to maximize long-term shareholder value, which we focused on delivering a total shareholder return, fueled by infrastructure cash flow growth, driving a stable and growing dividend. This concludes the prepared comments. Silvey, at this time, we would like to open up the call up for questions.
Operator: Thank you. We'll now take questions from the telephone line. [Operator Instructions] We do have our first question from Jeremy Tonet from J. P. Morgan. Please go ahead.
Jeremy Tonet: Steve, welcome aboard, looking forward to you bringing the same success to Gibson that you experienced at Lone Star.
Steve Spaulding: Thank you, Jeremy.
Jeremy Tonet: Just want to build off -- of the -- your comments with regard to the U.S. Environmental services business. And it seems like you're still undergoing the review at this point of the different business segments. But just wondering do you expect to find more parts of the Gibson's business that doesn't fit in with the long term strategy and could be candidates for incremental divestitures?
Steve Spaulding: Yes, Jeremy. At this time, it's really kind of too early. But we will definitely be looking at opportunities within those -- within all of our business lines, as I stated it earlier.
Jeremy Tonet: Got you, great. And then as far as expanding further on the midstream side, it seems like there's preference for organic over inorganic. I'm just wondering, is the focus going to be continued on Hardisty or Edmonton? Or do you see opportunities for new kind of incremental platforms for growth that you could look to diversify Gibson's?
Steve Spaulding: Well, Jeremy, I mean, my strategy is all long, is really build around your strengths. And our strength is Hardisty and then second Edmonton. And so we will really focus on those two assets, first and foremost. But we do want to continue to look for other platforms to grow. We do like Brownfield growth better than Greenfield growth. But we will be looking for opportunities in Canada and then secondary in the U.S. around our injection stations in the Permian basin and the SCOOP/STACK and the Delaware -- and the DJ Basin.
Jeremy Tonet: And then I appreciate that market conditions with tight differentials make results a bit difficult in the near term. Just wondering any thoughts you have as far as -- as production grows and takeaway production -- takeaway capacity builds up with apportionment, what type of opportunities that could lead to for Gibson? And if there's delay in TMX Line 3 what have you -- how you see that impacting Gibson?
Steve Spaulding: We're certainly reviewing that. That's tough for us to exactly tell you at this time what our strategy is going to be. But we are looking at that additional 300,000 barrels a day that's coming online in Canada. And then also, the impact of DAPL and how DAPL will impact Canadian production.
Sean Brown: Yes, Jeremy, it's Sean here. I think as we have apportionments through the tail end of this year, moving into the start of next year depending on when Fort Hills comes on, certainly that will improve the differentials equation, so that will help our Wholesale business. I mean the other part directly that will -- feel the impact is our crude-by-rail facility at HRC. Our RFC terminal as you know, we have the only unit train facility there and that contract comes up for renewal in just under two years. As you know, right now, it's fully contracted on a take-or-pay basis. But it is somewhat of a fortunate time to start thinking about re-contracting because the necessity and attractiveness of crude-by-rail leaving Hardisty will just get greater and greater as we think about Fort Hills coming on, potential apportionment on existing pipelines and delay of other potentially planned pipelines.
Operator: Our next question is from Robert Hope from Scotiabank.
Robert Hope: Just when we look at the sale of the U.S. Environmental Services business, I just want to get your read on the situation there? I guess, how are you thinking that about the use of proceeds there versus near-term cash flow, when -- whether or not, if we are seeing EBITDA improve for that business, you could get a better price in x amount of time?
Sean Brown: Thanks, Robert. It's Sean here. Couple of questions there. First, I'll start with the second half of it. We're seeing improving cash flows in that business. But, I think, the view here and one that's Steve has come in and done his review of the business, would agree with, is that you need to be disciplined about your portfolio of assets. We have done a strategic review, Steve has done a strategic review of the business. You need to figure out what parts of the business fit. As we've talked about previously, our focus is on infrastructure and assets that complement, optimize or help grow that infrastructure. Clearly, parts of that Environmental Services business do not fit within that strategy. So what I'd say is that we're not here to time the market. You're absolutely right that if we potentially waited a year, could there potentially be more value? That's absolutely correct. But there could also potentially be less value. And from our perspective, you just need to be disciplined around your portfolio of assets. We are not here to time the market. We're here to try and create an investment proposition that makes the most sense for everyone. So that's what I'd comment on regarding sort of timing vis-à-vis sort of current performance for the business. Second part of the question was use of proceeds. As Steve alluded to, use of proceeds will be to initially delever the balance sheet. Plus, you may recall, we still have $211 million remaining of what I would characterize as higher coupon debt, as it relates to -- as we put our current funding costs are -- so that U.S. dollar debt at 6.75%. So initially at least use of proceeds for the business will be to delever, which will really recharge the balance sheet as we think of redeploying that capital into further infrastructure growth.
Robert Hope: All right. That's helpful. And then just a smaller question. Just on the U.S. Logistics contracts expiring in November. Just some clarity there. Is the expectation there that you could see, I guess, a dip in profitability and volumes into the fall and then kind of recovering as you move toward a new business model there?
Sean Brown: Yes, I think that would be a fair characterization. I mean, really, the business model there had been one which was largely dominated by a significant customer, as that contract moves towards its expiry, those volumes of that major customer have reached dramatically. And we are looking to build that third-party business, as we move through the tail end of this year and certainly into next year. So that, that would be a fair characterization. In the second part, and Steve alluded to it briefly, but the other part is that we'll now have access to the injection stations, which we previously have not had, which given Steve's background and experience, we are quite optimistic about our ability to use those to help actually grow our infrastructure footprint into the U.S.
Operator: Our next question is from David Noseworthy from Macquarie Capital.
David Noseworthy: So I guess, the first question just on the use of proceeds. Is there any kind of early redemption penalty on your higher coupon debts, if you are electing to repay that debt?
Sean Brown: Yes, yes. David, there absolutely is there -- similar to the other higher coupon debt that we retired earlier this year as part of the refinancing initiative. I mean, what I would tell you is, it is higher coupon. So there is a call schedule like any sort of high-yield notes within it. I mean, if we were to refi that straight up with a new issuance at rates similar to what we had previously, a 5.25%, we'd still be NPV positive certainly, but there is going to be some -- there's a call premium with that, and we can get that to you after the call.
David Noseworthy: Okay, perfect. And maybe this is an after-the-call item as well. In terms of the actual assets that constitute U.S. Environmental Services, is it everything that was Omni or is it subset of that? Like, how should we think about what are the actual assets that you're actually going to sell, which ones you're going to keep?
Sean Brown: I think really think of it as everything that was Omni and then it would also include the Bakken sort of PRD.
David Noseworthy: Okay. That as well.
Sean Brown: [indiscernible]. Yes.
David Noseworthy: And then just in terms of your revenue per barrel in Logistics segment, it looks like you have a nice recovery year-over-year. Obviously, you are still facing some challenges, which you mentioned in your commentary. Is that changing kind of per barrel or revenue per barrel, just the mix? Or is that you're are actually able to charge a higher fee as the market kind of gets a little bit more solid from what it was?
Steve Spaulding: That would be a mix of both. So we are seeing a modest ability to capture price increases in different markets within that Logistics segment, but I would characterize that definitely as being modest. I mean, we are doing it where we can, but it's not in all margins, it's not in all products, but it's also a bit of a change in product mix as well. So I'd characterize it almost as relatively equal mix. [Indiscernible], we can again follow up with that one.
David Noseworthy: Okay. And then just one last question. With regards to getting customer contracts for the 4 tanks on the east side of your Hardisty Terminal. Should we think about it just as volumes grow those contracts are going to come? Or does it matter that we need like Line three replacement or certain -- if it goes on rail versus pipeline, that's going to impact the preparedness of customers to sign those contracts?
Sean Brown: With respect to those tanks, specifically, I wouldn't point to anything specific, necessarily like Line three or anything like that. It would be more just volume growth for those ones specifically. But I mean, as we look beyond those tanks into the next tranche of tanks that we hope to announce beyond that and Hardisty and/or Edmonton, that's where we'd be looking to some more specific factors that you alluded to.
David Noseworthy: Okay. And if I may, just one last question on this Sean. If I misunderstand this, please just stop me. But it looks like you had higher utilization in Q2, but you saw lower wholesale refined product sales. Does that mean you had more stuff going into storage and then so we might expect sales of that refined product later on in the year? Or am I missing it, just misunderstanding what I'm reading?
Sean Brown: Well, I can get back to you on that one. We will see, certainly, for our drilling fluids and asphalt, as we alluded to on the call, as we exit spring breakup, we will see more sales of drilling fluids. And the asphalt paving season, it continues in earnestly through Q3. So you'll definitely see more of that, but with specifics around utilization, we're going to take it back to you.
Operator: Thank you. Our next question is from Robert Catellier from CIBC. Please go ahead.
Robert Catellier: Sean, I just wanted to ask on the proceeds question again. I just want to just check my understanding here. It sounds that like without a replacement cash flow stream from the Energy Environmental Services sale in the U.S., that -- the cash flow benefit really comes from deleveraging, but it might be modestly dilutive to the payout ratio, all other things being held equal. So I just wanted you to comment on that? And then, I guess, the view is that's worth it because it's on strategy and it becomes a higher quality cash flow stream?
Sean Brown: I think, Robert, you hit it dead on the nose right there. I mean, it will be very, very modestly dilutive to the payout ratio, if you -- use the proceeds to pay down that 6.75% note. But again, the view is that the quality of cash flows in the consolidated Gibson are that much greater. And it's not just quality cash flows, but just the proposition, as I said, the focus truly is on infrastructure businesses that complement that, optimize it or grow it. That is where management wants to keep its focus, that is where we are focusing. This is a business, though a good business that does not fit within that focus. And so it just doesn't make as much sense within our portfolio. But you're absolutely right, it will be an extremely modest impact on the payout ratio. I mean, it's like a 1% or 2%, it's not, not, not great at all. But certainly we think the strategic merit of doing this, simplifying the business, continuing to focus on infrastructure, certainly outweighs that -- so that will be accurate.
Robert Catellier: And then just on the foreign currency movements. Can you clarify the company's EBITDA exposure from the U.S. currently and maybe post the Environmental Services sale. And specifically, maybe you can comment on how you might want to position the funding in terms of how much U.S. dollar debt you have is -- it looks like you are reducing your exposure there, at least temporally, so is there going to be any strategic shift in how you fund and in what currency?
Sean Brown: Yes, yes. I am happy to address it. So our U.S. dollar -- right now, our U.S. dollar cash flow would be comprised principally of our trucking in the south and our Environmental Services business. So if you think of that, it's probably circa 10% on a trailing basis -- if even that. If you look at our capital structure, as we currently sit, we would be overweight U.S. dollar debt somewhat with the $211 million of 6.75% notes we have. Clearly, and I'd alluded to it on earlier question that there is an opportunity, even absent this sale, we would likely do something with those 6.75% notes just because there is an NPV positive. So we will be reducing our U.S. debt exposure. In general, as we've looked at it historically, we've tried to have somewhat of a natural hedge with our U.S. dollar debt being naturally hedged by our U.S. dollar cash flows. On a pro forma basis, with our U.S. dollar cash flow significantly lower than it has been historically, and call it sub-10%. Clearly, there is much less of a need for U.S. dollar debt. And I would argue, as we refinance and think about -- as we pay down that $211 million and refinance the remainder, the question is, is there a necessity for any U.S. dollar debt in the system. So that's something that we will be working through. But our strategy historically has been to hedge U.S. dollar debt with U.S. dollar cash flows. We will likely be doing something around the $211 million. We'll be using the proceeds from Environmental sale to delever. So you'll see a natural shift anyway. And the question going forward will be, is there a need for any U.S. dollar cash flow when -- sorry, any U.S. dollar debt when sub-10% of your cash flow is coming from there.
Robert Catellier: Okay. That's very helpful. And then my final question here is just on the U.S. injection stations. And as you seek to replace the volumes from that customer concentration, going to more of a multi-customer model, what needs to be done to accelerate that transition? And if you can speak directly to capital spending in your answer if you need to spend any money to do that, or is it simply -- or more of a commercial process to get there?
Steve Spaulding: It's simply a commercial process. We have the trucking fleets. We have over 60 injection stations into really premium pipelines in the Permian basin and Mid-Continent and the Rocky. So really it's all about getting the right people in place to put our trucks back into business and also to really maximize profit around those injection stations.
Robert Catellier: Steve, do you have a comment on targeted timing for full replacement?
Steve Spaulding: I do not, I do not. We agree that -- we may see some pain in the fourth quarter and in the first quarter. But we believe that we'll be able to quickly replenish that revenue, that they will -- that we may lose, and then it is a great platform to really grow forward. That contract has really blocked Gibson for the extent of owing these assets from really growing any U.S. infrastructure in the U.S. due to some of the language within that agreement, really blocked us from growing U.S. crude oil infrastructure. So we are very excited about the opportunity around that business.
Operator: Thank you. Our next question is from Ben Pham from BMO Capital Markets. Please go ahead.
Ben Pham: I had a question on the 4 tanks and commentary about Q3, potentially seeing some additional disclosures on contracts there. And wanted to clarify, is that -- suggest that you've gone quite a long there in the negotiation process in terms of you've pinned down pricing and service dates, CapEx and that you've done your credit analysis and a counterparty and at this stage, it's more of a couple of variables left, perhaps board approval on a counterparty. So that's going to drive additional disclosure there?
Sean Brown: Ben, I mean, the Q3 disclosure is no different than what we've talking about really all along. So like sort of any of these things, the negotiations continue. I mean, when we first announced that we are initiating the front end engineering in civil, we had a fairly high degree of confidence that these tanks would actually get built, that they would secure commercial contracts behind them. You might recall we hadn't done that previously. And I think you can read into that, the fact that we're willing to do that around our confidence and where the progression of these contracts had been. So I'm not going to speak specifically to where we stand vis-à-vis are they sitting on somebody's desk, just about to be signed or -- but again, I would reiterate, we typically do not preannounce almost before the actual signing of the longer-term contracts. And the reason or not the reason, but we did preannounce it for this one and that was predicated on our level of confidence in the progression of those discussions. So I mean, read into that how you may, but we remain confident that these will be executed in Q3. That doesn't change. And I think that confidence would illustrate sort of the level of advancement of customer discussion.
Operator: Our next question is from Robert Kwan from RBC Capital.
Robert Kwan: Maybe I'd just kind of come back to, Steve, your answer on the injection stations. And I'm just wondering can you talk about some of the upside opportunities around -- building out around that infrastructure, from a size perspective, do see that more of singles and doubles? Or do you see larger potential initiatives? And then in terms of the -- there are over 60 stations, which plays do you think you are best positioned, whether that's Permian, SCOOP, STACK, DJ, what have you?
Steve Spaulding: It was a two-part question. So as far as -- I'm thinking singles and doubles, right, so that's where we are. And then once we get singles and doubles potentially down the road, we can get some triples. But we're not looking for home runs here. We're looking to stay within our wheelhouse. If you look at those injection stations, I mean, they are in Loving, Reeves, Ward, Martin, Upton. So we have Midland, so tremendous position in the Delaware Basin and in the Permian Basin. Some of these stations -- some of these injection stations are on what I consider the best acreage in the Permian Basin, both the Delaware and the Midland. And then in the SCOOP in the STACK and the [SWOOP], we have Mayville stations, El Reno stations, several stations within the northern side of a state, all the way down to the southern side of state. We think we're very well positioned, connected to key pipelines in the area. And then we have our stations in the Powder River and up in the -- and in down in the DJ Basin. And that's predominantly where we're going to focus. We like that as far as the drilling economics. So that's predominantly where we're going to focus as where the producers have their drilling rigs.
Operator: [Operator Instructions] So we do have a question from Andrew Kuske from Crédit Suisse.
Andrew Kuske: Steve, I know it's still early days, and this is your first quarterly call with the Street. But how do you think about just the strategy on a go-forward basis. And Gibson talked in the past about the touch the barrel strategy. You've alluded to some similarities as far as focusing on the core infrastructure, extending some of that infrastructure in so far as possible to generate value. But how do you think about just the core asset base, and where you want to be from a positioning standpoint and any kind of strategic synopsis?
Steve Spaulding: Another two-part question. So let's go to the core asset base. We talked earlier, really, I mean, Hardisty is our core asset. We are very confident and continue to grow that asset in the near term and in the long term. We all talked about some of the business drivers in the long term, beyond even growth in the oil sands. So as infrastructure to deliver Canadian crude oil to the market becomes more choppy, due to curtailment that requires more storage and more potential rail movement. And we are set strategically and we're extremely well set strategically. As far as touching the barrel, I believe touching the barrel is important, but I think facing the producer is even more important. So we will really face the producer and provide those services to the producer to get their production to the market at the highest netbacks.
Andrew Kuske: And then just as a follow-up. Sean mentioned this earlier that you've got this great opportunity as pipelines go into apportion in all likelihood in the near term. But when you look ahead and say a few years ahead, and let's just assume that KXL, TMVP and L3R all go ahead, do you wind up being in a very advantageous position, just given your independence in heart of Hardisty from a connectivity standpoint from being able to move volumes from all the major systems?
Steve Spaulding: We believe so at Hardisty, and then we are setting ourselves up at Edmonton to be very similarly position.
Operator: [Operator Instructions] There are no questions registered at this time. I would like to return the meeting back over to you, Ms. Price.
Tammi Price: Thanks, again, for your interest in Gibson Energy. As mentioned earlier, I'm available after the call if there are more questions. Have a good day, everyone.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time. We thank you for your participation.